Operator: Thank you for standing by. This is the Chorus Call Conference operator. Welcome to the IAMGOLD First Quarter 2020 Operating and Financial Results Conference Call and Webcast. [Operator Instructions]. At this time, I would like to turn the conference over to Indi Gopinathan, Vice President Investor Relations and Corporate Communications for IAMGOLD. Please go ahead.
Indi Gopinathan: Thank you very much, Ariel. And welcome everyone to the IAMGOLD first quarter 2020 conference call. Joining me today on the call are Gord Stothart, President and Chief Executive Officer; Carol Banducci, Executive Vice President and Chief Financial Officer, Bruno Lemelin, Senior Vice President, Operations and Projects; Craig MacDougall, Senior Vice President, Exploration; and Jeff Snow, Senior Vice President, Business Development and General Counsel. Our remarks on this call will include forward looking statements. Please refer to the cautionary language regarding forward looking information in our disclosure document and be advised that the same cautionary language applies to our remarks during the call. The slides referenced on this call can be viewed on our website. I will now turn the call over to our President and CEO, Gord Stothart.
Gord Stothart: Well, thank you, Indi. Good morning, everyone, and thank you for joining us. I hope everyone is safe and healthy and managing through their own little private Groundhog Day experience. Anyways, so last night we issued our first quarter 2020 results, which demonstrate our leverage, the gold price, and strong operating cash flows. Before we get into the discussion of the quarter, I wanted to touch on the current environment and how our company is situated. In this uncertain environment caused by the global COVID-19 crisis, IAMGOLD is fortunate to be operating from a position of strength. We have a strong balance sheet to withstand operational and/or market disruptions. We have operations in diverse jurisdictions, which in turn diversifies our risk of exposure to the current crisis. Our team has enacted an effective multi-level crisis management process very early on in the outbreak, which has enabled timely implementation of strict protocols and a quick and agile response to a fluid situation. IAMGOLD has a deep bench strength across the organization at both the operations and corporate level to support the business and we have been successful in taking a collaborative approach to government and community relations. Despite the challenges of the current situation, we have continued to move the business forward as evidenced by the completion of the Saramacca UJV agreement with the Surinamese state-owned petroleum company Staatsolie that we announced a couple of weeks ago. Bruno will provide some additional details a little later, but I'd like to say that Staatsolie represents a solid partner for Rosebel given their experience as a partner with Newmont over the past several years on the Merian mine in Suriname. So our strengths have enabled us to respond in a timely and effective manner to the global COVID-19 crisis, once again reflecting our commitment to zero harm. Our response started with the activation of our cross-functional crisis committees, which combine expertise from various disciplines across the company to assess and plan actions. From a health and safety perspective, we've taken extensive steps to protect the health and safety of employees and contractors. And Bruno will be sharing some pictures in a few minutes to give you a better sense of what has been implemented. In addition, we've been working with our host regional and local governments to safeguard vulnerable communities by bolstering food security, donating medical equipment, and contributing to COVID-19 relief programs. The crisis had a limited impact on our mining operations in Q1 with production uninterrupted at Essakane and Rosebel, while the impact to Westwood was limited to the six days in March the operation was placed on care and maintenance along with other mining companies province-wide following a directive from the Quebec provincial government. However, sales were impacted at Essakane as they were postponed at the quarter end due to the global COVID-19 crisis. Those gold ounces not sold in March were we did -- we have sold since in April. IAMGOLD is committed to achieving high standards in environmental, social, and government practices. It's been very straightforward for the organization to maintain these standards as they are perfectly aligned with our zero harm vision, which has been a guiding principle of the company for over a dozen years. One of the recent highlights is a public private partnership with the Canadian government, the One Drop Foundation and Cowater on the Triangle de l'Eau project in Burkina Faso in order to bring potable water to 200,000 people around the Essakane Mine over the past few years. We have also developed the Surinam Community Fund this past year with initial funding of $2.5 million to provide grants to local projects, which demonstrate positive economic and social impacts. I'm very pleased to announce that we strengthened our leadership, technical, and stakeholder engagement talent with the appointment of Bruno Lemelin to Senior Vice President, Operations and Projects, who will speak a little later and also the appointment of Oumar Toguyeni to Senior Vice President, International Affairs and Sustainability. In his new role, Bruno has oversight of all operational and project development activities across the organization having joined the company in 2014 after 10 year career with Xstrata, now Glencore and then with SNC-Lavalin. Bruno transitions from the role of Regional Vice President, Americas for IAMGOLD. Oumar's new responsibilities will be to manage IAMGOLD's relationships with overseas host governments and other stakeholders in West Africa and South America. Oumar joined IAMGOLD in 2012 bringing over 25 years experience in exploration, project development, and operations for various commodities including gold base metals and bauxite in Africa, Europe, South America, and the Caribbean. Oumar transitions from the role of Regional Vice President, West Africa for IAMGOLD. Following our review of 2020 guidance in the context of impacts of the COVID-19 crisis to-date we have made the following revisions. We have lowered production guidance for Essakane to the range of 350,000 ounces to 370,000 ounces. We have slightly increased production guidance for Rosebel to the range of 250,000 ounces to 270,000 ounces. We have lowered production guidance for Westwood to 85,000 ounces to 100,000 ounces largely due to the impact of the mandated care and maintenance shutdown from March 26 through April 15 combined with the restart activities and adjustments to new working protocols. These changes shift attributable guidance for the company down about 2% to the range of 685,000 ounces to 740,000 ounces for 2020. With the impact on production and the adjustments we are all making, we have adjusted cost guidance as follows. Cost of sales between $955 and $995 per ounce sold. Total cash costs of $920 and $960 per ounce produced. All-in sustaining cost of between $1,195 and 1,245 per ounce sold. Our outlook for capital expenditures was also adjusted in the context of COVID-19. The main changes are, at Essakane, a reduction of non-sustaining costs to $80 million from $100 million due to lower levels of capitalized stripping and timing of spend. At Rosebel, an increase of $5 million and sustaining capital due to a shift of spend from non-sustaining capital. At Westwood, a reduction of $10 million in non-sustaining capital due to reduced development. At Côté, our planned capital expenditures for 2020 were increased by $10 million to $45 million to support progress on the early works phase, including site tree clearing work from the first quarter, access road development, advancement of the construction camp facilities, and advancement of detailed project engineering. At Boto, planned capital expenditures in 2020 are reduced by $5 million to $25 million. In total these adjustments comprise a net increase of $5 million of sustaining capital and a net decrease of $30 million in non-sustaining capital and the total capital spend in 2020 is planned at $345 million, a net decrease of $25 million. I'll note here that our 2021 guidance remains unchanged but is under review as the COVID-19 pandemic unfolds and we better understand the effect of 2020 adjustments on our plans for 2021. As we continue to optimize our existing operations and derisk our development projects, we have a number of catalysts upcoming in 2020. We are currently working on the NI 43-101 report for Westwood for mid-2020. This is expected to outline the details of a safe, profitable and long life mine plan. At Rosebel, the main haul road is substantially complete for Saramacca and we're hauling on it now. We expect to be at the target run rate for mining of Saramacca later in the year. The mill optimization project at Essakane aimed at increasing throughput by about 10% is ongoing and we hope to get that online toward the end of the year. In exploration, we are working on further resource delineation programs at various projects including Nelligan and the Rouyn project in Quebec; Gosselin at Côté in Ontario and the new Karita discovery in Guinea. And we continue to review our options for strategic growth with a pending decision as to which of our shovel-ready greenfields projects, Boto or Côté will move forward into construction once it is appropriate to do so. Our work plan for 2020 sets up 2021 for Westwood to expand production in accordance with the new mine plans announced last December for Rosebel production to increase with Saramacca online and for an optimized Essakane mill demonstrating increased throughput. On that note, I will now pass the call over to Carol to review our financial results.
Carol Banducci: Thank you, Gord. The company saw strong gold margins in the quarter resulting in strong operating cash flows, although Rosebel and Essakane were impacted by lower sales volumes in the quarter compared to the same prior year period. Earnings were impacted by embedded derivatives related to the Rosebel power purchase agreement and our senior notes. We have continued to prudently manage our balance sheet with cash, cash equivalents, short-term investments, and restricted cash totaling $829.8 million at March 31. We also amended our credit facility extending the maturity of $447 million of credit to January 31, 2024. As we all know, COVID-19 has impacted mine operations globally and we are no exception. However, in this time of uncertainty we also see opportunity and were able to execute a number of currency and fuel hedges at levels that compare very favorably to our internal planning rates. Earlier Gord laid out our revised production and cost guidance for 2020. I'll note here that we expect depreciation expense in 2020 to be in the range of $250 million to $260 million, down $10 million from the previous guidance. Guidance for cash taxes remains the same at $30 million to $45 million. Revenues in Q1 were $274.5 million on strong gold prices while cost of sales were lower compared to the same prior year period and the prior quarter. The adjusted net loss for the quarter was $4.9 million or $0.01 per share. Net cash from operating activities before changes in working capital totaled $72.8 million. As I noted earlier, we are prudently managing our balance sheet in these uncertain times. We have a total liquidity position excluding restricted cash and including our current $5 million credit facility of $1.3 billion. Our $400 million in senior notes are not due until 2025. This next slide highlights the strength of our financial position relative to our peer group. And as you can see, we are in a net cash position with peer-leading liquidity. I will now pass along the call over to Bruno to discuss operations.
Bruno Lemelin: Thank you, Carol. We are committed to the health and safety of our employees. The first quarter of 2020, we were slightly above our target. As noted with a DART rate, which stands for days away, restricted or transfer duty of 0.65. We work every day to meet or exceed our safety goals, implementing and refreshing a number of initiatives to ensure a safer work environment including a comprehensive behavior-based safety program. Slide 20. This slide summarizes our results for the quarter with total consolidated attributable production of 170,000 ounces. Cost of sales of $1,064 per ounce sold, total cash cost of $993 an ounce produced. All-in sustained costs were $1,230 per ounce sold for the first quarter. I will now review each operation in turn. At Essakane, attributable gold production for the first quarter 2020 was 84,000 ounces. The key factor negatively impacting production was lower tonnes mined than planned due to lower utilization rate and sequencing. Sales volumes were lower for the quarter as noted earlier. All-in sustaining costs were $1,054 for the quarter, largely impacted by the lower than trend volumes. In response to COVID-19 Essakane was moved to island mode with quarantine processes in place for personnel moving in and out of the site. In 2020, our focus is on mill optimization at Essakane, which targets improvements in throughput about 10% as well as recovery improvements. Completion of this work is slightly delayed and we expect this to be completed late this year. It is a high waste stripping year for Essakane with about $65 million in non-sustaining capital plan for push backs. In addition, on the exploration front drilling at Tassiri is complete and we are comparing these results to assess resource potential. As Gord mentioned, we have a number of measures in place to protect our workforce from the Coronavirus. In these pictures, we are [indiscernible] cleaning, and disinfection of cargo that takes place at Essakane as well as the stations installed to encourage frequent handwashing. At Rosebel, attributable gold production for the first quarter was 64,000 ounces. Production benefited from higher grades at Royal Hill and Mayo, which were higher than planned, an improved grade reconciliation in the quarter. However, throughput was supplemented with lower grade stockpile material. The carbon-in-column plant continue to operate as expected recovering 3,000 ounces from tailings in the first quarter at marginal operating costs of approximately $35 per ounce to cover additional power and elution costs. All-in sustaining costs were $1,248 for the quarter. I will mention as well that we have made good progress since last year with the unauthorized miners in our pits at Rosebel. We have been back to normal operation since the fall last year and we continue to work with our community and government stakeholders toward developing a sustainable long-term solution. In response to COVID-19, Rosebel like Essakane was also moved to island mode with quarantine processes in place for personal moving in and out of the site. Saramacca is progressing well, with the main haul road connected through to Saramacca in the first quarter and hauling of Saramacca ore since mid-March. We expect mining rates to increase from Q2 to Q4 and are on schedule to achieve our target ramp rate in the second half of the year. In late April, Rosebel signed an unincorporated joint venture agreement with Staatsolie relating to the concession areas within the UJV area of interest, which includes Saramacca. The UJV exclude the existing Gross Rosebel mining concession, which is 95% owned by Rosebel and 5% owned by the Republic of Suriname. Rosebel owns 70% participating interest and Staatsolie owns 30% participating interest in the UJV on behalf of the Republic of Suriname. Staatsolie has paid Rosebel, an initial amount of $34 million toward an aggregate hauling of $54.9 million for all operating and capital expenses related to the Saramacca process. The remaining amount would be paid out of Staatsolie's gold entitlement. I would note that this is not a new agreement. The UJV was previously agreed to in the second amendment to the mineral agreement announced in June 2013 with Staatsolie now the new UJV partner replacing the original entity designated by the Republic of Suriname to hold their 30% interest. From a health and safety perspective, we included a couple of pictures from Rosebel highlighting our strict physical distancing protocols in place in area such as the kitchen line-up and the bus pickup point. Production at Westwood was 22,000 ounces for the first quarter 2020. I will note that target production rate and costs were achieved prior to the impact of COVID-19 responses. Westwood was on care and maintenance for six days in the first quarter. Care and maintenance suspension of work at Westwood continue through the first half of April and the operation has since resume production. All-in sustaining costs were $1,242 per ounce sold for the quarter while higher than the same period last year due to the normalization of the all-in sustaining cost then. I would note that our AISC guidance for Westwood during the ramp up period was treated at $1,125 to $1,225 per ounce sold. Our next milestone for Westwood is the completion of the life of mine plan and accompanying National Instrument 43-101 Technical Report mid-year 2020. We will also provide an updated resource and reserve statement at that time. I want to add here that the team of Westwood did an outstanding job in responding quickly and efficiency and putting the site on care and maintenance. And again in bringing it back online with the new protocols in place. In the picture on the left you can see our successful first attempt to bring workers underground on this new work protocol. At right is a picture of the supervisors which are separated with panels and enclosed with screens. On the projects front, we have two shovel-ready projects in Boto Gold and Côté Gold. We continued to derisk in Q1 both prior to the COVID-90 crisis and then during the crisis with non-field activity. At Boto, engineering work is ongoing and we are able to continue exploration given the remote nature of the site. At Côté, we have completed approximately 56% of detailed project engineering at the end of the quarter and have largely completed the tree clearing work with our First Nation partner firm before winding down this activity. We continue to derisk Côté with ongoing detailed engineering work. I will now turn the call over to Craig to discuss exploration.
Craig MacDougall: Thank you, Bruno. And good morning everyone. Before I begin, please note that the results I talked about today have been previously disclosed in accordance with securities regulations and signed off by the qualified persons within the company reporting them.  In 2020, our planned exploration spend is $52 million excluding project development activities and studies, which represents an increase of $5 million from our prior guidance in order to support additional resource development drilling at Rosebel. Our 2020 resource development and exploration program includes approximately 190,000 to 210,000 meters of diamond and reverse circulation drilling. Let's begin with this chart, which shows the compilation of the industry reserve base among some of our peers. As you can see, industry reserves have been on a steady decline since 2012 while IAMGOLD has been working hard to differentiate ourselves from this industry trend generating 48% percent increase in reserves over that time. In 2016, we have added some 8.9 million ounces, more than doubling the ounces in our reserve base. This is the result of a sustained commitment to exploration and the hard work of our exploration and mine geology teams. We believe this is a significant competitive advantage for IAMGOLD in our future. Now onto a few highlights for the quarter. During the quarter at Nelligan, we completed approximately 5,000 meters of diamond drilling designed to infill and further test continuity of mineralization associated with the Renard zone. As you will remember, we announced the maiden mineral resource estimate for the Nelligan gold project in the fourth quarter of 2019 with resources on 100% basis totaling 3.2 million ounces in an inferred category at a grade of 1.02 grams per tonne gold. At the nearby Monster Lake project located 15 kilometers south of the Nelligan gold project, we have completed approximately 1,600 meters of diamond drilling focused on testing the Annie Shear Zone target in an effort to extend the mineralization we intersected there in 2019. We also completed approximately 4,700 meters of diamond drilling during the quarter focused on evaluating the resource potential of the newly discovered Gosselin zone at our Côté Gold project taking advantage of the winter drilling conditions of this winter. In West Africa, during the first quarter, exploration activities were focused on resource conversion at the Boto Gold project in Senegal as well as exploring selected high priority geochemical and geophysical targets within a 20-kilometre radius of the Diakha deposit located to the south in Mali. We also announced an updated mineral resource estimate at the Pitangui Gold project in Brazil during the quarter upgrading over 52% of the inferred resources to an indicated category. Current mineral resources are comprised of indicated resources totaling 3.3 tonnes and a grading 4.4 grams on gold for 470,000 ounces of contained gold while inferred resources totaled 3.6 million tonnes at a grade of 3.8 grams per tonne gold for 430,000 ounces of contained gold. Ongoing exploration continued to evaluate selected targets within the remainder of the 180 square kilometer project with the objective of discovering additional mineralized zones. IAMGOLD has developed and continued to invest in a healthy pipeline of early to advance greenfield projects in geographically diverse locations as well as near mine brownfield exploration targets to leverage our existing infrastructure. I will now pass the call over to Gord to include.
Gord Stothart: Well, thanks, Craig. I want to take a moment to truly thank our team around the organization who have exhibited an outstanding professionalism while dealing with this unprecedented situation brought on by the COVID-19 pandemic. We believe that IAMGOLD has an exciting future with a great foundation of existing operations, superior balance sheet, and one of the best growth portfolios of development assets and exploration projects in the industry. All of this is underpinned by a savvy experienced team of technical, operational, and financial professionals. We remain focused on improving our cash flow outlook while safely executing on or better than plan. Our goal over the next few months is to provide clarity regarding our company growth strategy and we look forward to speaking with you again at that time. Thank you for joining us.
Operator: We will now begin the question and answer session. [Operator Instructions]. Our first question comes from Fahad Tariq of Credit Suisse. Please go ahead.
Fahad Tariq: Hi. Good morning. Thanks for taking my question. Can you give a bit more color on the 2020 cost guidance? I'm just trying to reconcile production guidance was revised down just a little bit 2%, but costs went up quite a bit more 8% or 9%. And two out of the three mines weren't really shut down for COVID-19. I can appreciate there is some additional protocols in place, but I'm just trying to figure out how much of this is kind of COVID-related to cost escalation, how much of it is maybe something else whether it's mine sequencing or something else. Just any color on that would be would be helpful. Thanks.
Gord Stothart: Yeah. I'd go ahead, Tariq. So there's a couple things at work. As you correctly point out the guidance has changed in terms of production so we are producing fewer ounces than we had originally booked into our analysis. On the cost guidance we are seeing some direct COVID-related costs and some indirect COVID-related costs. As you point out, both the changes in the productivity is due to do the protocols some outright additional costs as we've had to change some of our housing facilities and our housing of employees like. We're not bringing in employees on a daily basis from a few of the sites. We have seen some additional costs due to hedge reconciliation with the lower oil price so that that is added to the costs and as well our initial budget numbers were done at 1,350 gold price. So we're seeing significant increases up to -- I think it's around $15 an ounce going forward looking at royalty costs, which are also embedded in the cash cost.  There is some re-sequencing and we have -- while Essakane and Rosebel continue to produce through the full period we have seen some adjustments and we are -- we have at both sites been putting more stockpile material in when we have some productivity or manpower adjustments to the mining rate. As we look forward, that impact is really going to mostly fall in Q2 and we feel we'll be recovering a lot of that in the second half of the year. Carol, would you add anything else?
Carol Banducci: No, I think that's a good summary again having to draw on stockpiles certainly impacted the costs. And as you pointed out, just the productivity levels were impacted at the two sites more specifically Essakane and Rosebel due to different protocols and measures that we took with social distancing and of course we went into care and maintenance with Westwood. So I think you summed it up pretty well for us.
Operator: Our next question comes from Josh Wilson of RBC Capital Markets. Please go ahead.
Gord Stothart: You might be on mute, Josh.
Josh Wilson: Oh, sorry about that. The first question relates to the Sadiola. When should we expect closing for that transaction and what ultimately is pending here for approval?
Gord Stothart: Actually, I'm going to turn that call over to Jeff Snow who's on the call.
Jeff Snow: Sorry, Josh. You kind of -- can you repeat the question?
Josh Wilson: Yes, sorry. For Sadiola what remains pending for the approval here of the sale and when should we expect closing?
Jeff Snow: We're scheduling closing for end of May. And the only things remaining really are the government to sign off on the documentation. All has been agreed, but it takes a while to work its way up to the various levels in the government in terms of obtaining signatures. But we're scheduling in the end of May for the finalization of the deal.
Josh Wilson: Okay. Great. Thank you.
Jeff Snow: You're welcome.
Josh Wilson: And then with regards to 2021 guidance, Gord, the existing numbers were maintained but they are noted as being under review. What do you consider to be the big factors here that could change the forecasts for next year?
Gord Stothart: Really the only -- well, I guess, the two biggest factors that we're reviewing right now is as we're working with our forecast not only through the end of this year, but through the end of 2021. It's just understanding if any sequencing changes arising from changes to this year's plan impact next year's plan and also, of course just reviewing the costs and trying to understand productivity levels and being prudent around how long the current protocols will have to be kept in place going forward and what if any impacts that will have. As of right now, we don't see any specific impacts on 2021, we just felt it was prudent to complete our reviews and be transparent with the market that, in fact, we are having a good hard look at that to understand where 2021 might go.
Josh Wilson: Got it. And then last question on Côté with, I guess, 60% of the detailed engineering now complete, are there any sort of indications of directionally how the project is looking versus what expectations were beforehand?
Gord Stothart: I mean certainly there are some changes to the timing of what the schedule looks like versus where we've looked at that earlier. The current situation has forced us to go back and revisit timing. On a cost basis, we have seen on a total basis slightly a little bit of cost up just more from holding costs over the last while, however, going forward we do see some real opportunities to maybe recoup some of those. And the go-forward cost is really not materially different from anything we've said previously. We can execute on this project pretty well within the budget.  One nice thing about advancing the engineering is it's really narrowed the goalposts on what the size of the capital knot will be. We have a lot of -- or not a lot, but we have a number of bids in in-hand already that help us understand rather than an engineering estimate what a real life estimate of those costs will be, so we're adjusting our plans accordingly. And the other piece that we're looking at in our favor over the next little while is our opportunity to, perhaps, do some hedge work on the Canadian dollar exchange rate and on the fuel price through the construction period as our estimates to date have all been done at a CAD1.30 Canadian exchange rate and I think $65 or $70 oil price. So we can maybe lock in some nice benefits on that side if and when we choose to move forward with the Côté and those will be pretty substantial. I mean the Canadian dollar exposure to the capital cost is around 80% to 85% of the capital cost. So CAD1.41 Canadian dollar is hugely beneficial to us in U.S. dollar terms.
Josh Wilson: Okay, great. And when should we expect an update either on the projects or the strategic review?
Gord Stothart: We're just going through that analysis now, we had our board meeting yesterday and we're discussing the timing. I am hoping certainly by the middle of the year we'll be able to come out with a really clear message as to how we're going to proceed.
Operator: Our next question comes from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everybody. Just wanted to come back, Gord, to just some these costs that have gone up higher than we had expected for 2020 and I'm trying to just understand. And thank you for some of the clarity on the COVID cost. But of the 8%, 9% increase that you put out in overall estimate, I mean are those half related to COVID? I'm just trying to get an understanding.
Gord Stothart:
%:
Tanya Jakusconek: And just for us to understand going forward because -- and maybe just share with us the productivity. I mean how much have you seen in productivity loss?
Gord Stothart:
%: When we're looking at our forecast going out we see that ongoing for Q2, and we also see that as we get into the second half of the year through some improvements so through some adjustments, we expect to clog most of that back and we'll be operating pretty close to full productivities in the second half of the year.
%: When we're looking at our forecast going out we see that ongoing for Q2, and we also see that as we get into the second half of the year through some improvements so through some adjustments, we expect to clog most of that back and we'll be operating pretty close to full productivities in the second half of the year.
Tanya Jakusconek: Okay. So then looking forward, there's going to be some -- going back to full productivity let's say the second half, but there's going to be some incurred costs from this COVID-19 that you're still trying to quantify that you think going to be embedded in the cost structure going forward?
Gord Stothart: Yes. For a while, for a while.
Tanya Jakusconek: Okay.
Gord Stothart:
0:00:01 cost:
Tanya Jakusconek:
0:00:22:
Gord Stothart: No, no. It's much more of the COVID impact. The throughput expansion was only scheduled to come into effect for us for Q4. So really the impact is more on the sequencing as Bruno alluded to and the use of stockpiles in the first half of the year. And -- yes. I'll leave it at that.
Tanya Jakusconek: So it's just the Q2 impact and then we're back to normal capacity in Q3, Q4?
Gord Stothart: Well, we're back to current capacity, but we won't see the completion of the de-bottlenecking for Q4 that we have to that.
Tanya Jakusconek: Okay. That's helpful. Yeah. Okay. And then just my last question, I'll pass it on to someone else. Maybe someone can just give us some insights on this new Government FX Regulation at Suriname?
Gord Stothart: Yes. I could speak to it. So this new currency law was brought forward in Suriname about five weeks ago now and I'm not sure of the exact timing. We obviously studied the issue very, very closely. What I can say is that civil society both from the general populace standpoint as well as the business community has pushed back very, very aggressively with the government. So even though the law was passed, they haven't enacted, they haven't started enacting any of the main provisions that were in that law. Our position -- and we validated that with external counsel and internal counsel and with the government, is that our mineral agreement stands, carries precedence over this revised law because of embedded stability agreements. And the mineral agreement was actually very thorough and quite explicit as to what our own currency options are and what we are allowed to do. And we could -- they're the same things we've always done and we have clarified with the government that we expect the same going forward and haven't received any pushback.
Operator: Our next question comes from Anita Soni of CIBC. Please go ahead.
Anita Soni: Hi. Most of my questions have been asked. But could you just let me know this surface deposit that you're -- I assume is the service deposit, the low grade deposits that you -- I think the 109k tonnes that went into the mill of Westwood? Is that something that we should be modeling going forward for the remainder of the year? Is that more just a localized issue due to COVID?
Gord Stothart: Bruno, do you want to speak a little bit to Grand Duke and what the plan is for that and what they'll see in the 43-101?
Bruno Lemelin: Yes, Gord, [indiscernible] so the [indiscernible] pit is going to be a very small deposit to complement the ore production for Westwood for this year only. So in terms of modeling it's very limited. And the goal or the task that we have, our plan is to ensure that Westwood stand on its own merit and for the underground operations. So as per the press release in December, aiming at having a nice ramp up over the next three, four years of about 120,000 ounce for Westwood. So I think it's just a nice approximate feedback we are now capturing considering the gold price environment.
Gord Stothart: And it was --
Anita Soni: And that --
Gord Stothart: I just saw -- Anita, I would also add that if the Grand Duke was in our original guidance for 2020 and 2021, we're actually -- as we're getting in and mining and seeing maybe a little bit more opportunity, but we're just evaluating that right now. I mean you will see Grand Duke numbers in the 43-101 that's released at mid-year. It's a small opportunity, but we had the spare capacity in the mill, so we're exploiting it.
Anita Soni: Okay. And then just in terms of the cost associated with that, obviously it's not as -- it's not cost link for those ounces as the underground. Can you just give us an idea of how we see modeling on that until the mining cost per tonne?
Gord Stothart: Bruno, do you have the mining cost per tonne?
Bruno Lemelin:
eliminate:
Operator: This concludes time allocated for questions on today's call. I will now hand the call back over to Indi Gopinathan for any closing remarks.
Indi Gopinathan: Thank you very much, Ariel. And thanks to everyone for joining us this morning and for your continued interest in IAMGOLD. We look forward to having you join us again for our second quarter 2020 conference call in August. Stay safe everyone. And goodbye.
Operator: This concludes today's conference call. You may disconnect your lines. Thanks for participating. And have a pleasant day.